Operator: Good day, ladies and gentlemen. And thank you for standing by. Welcome to the Badger Infrastructure Solutions limited, 2022, First Quarter results conference call. At this time, all participants are in a listen-only mode. After the speakers presentation, there will be a question-and-answer session. To ask a question during the session . As a reminder, this conference call is being recorded. If you require any further assistance, . At this time, I would like to turn the conference over to Mr. Paul Vanderberg. Sir, please begin.
Paul Vanderberg: Thank you. Good morning. And welcome to Badger's Q1 2022 earnings call. On the call with me this morning is Rob Blackadar, our Chief Operating Officer, and Darren Yaworsky, our CFO. Our 2022 Q1 earnings release, the MD&A, and the financial statements were released after market close yesterday and are available on our website, the Investors section, and also on SEDAR.
Paul Vanderberg: We are required to note that some of the statements made today may contain forward-looking information. In fact, all statements made today, which are not statements of historical fact, are considered to be forward-looking statements. We make these statements based on certain assumptions that we consider to be reasonable. However, forward-looking statements are always subject to certain risks and uncertainties, and undue reliance should not be placed on them as the actual results may differ materially from those expressed or implied. For more information about these assumptions, risks, and uncertainties that may be relevant to such forward-looking statements, please, refer to our 2021 Annual Information form. So as always, we'd like to start the call with health and safety. We've been pleased with the team's health and safety response to the now two-year old COVID pandemic and the related challenges that have come along with it from an operating perspective. Under all conditions, safety of Badger employees and customers remains Job Number 1. We are pleased with how the team has managed through this pandemic. Our COVID playbook consistently follows our Center for Disease Control guidelines and our commitment to a strong health and safety culture led by Rob and Leon Walsh, our Vice President of HSC. This has allowed us to manage through any conditions that we've seen with COVID. We continued to manage through those conditions in Q1. The first half of the quarter was impacted by the Omicron variant outbreak and the restrictions that went along with that. As we indicated on our Q4 2021 call, January saw about 8% -- 9% of our operators in quarantine at some point during the month. This was a similar level to the August and September peak with the Delta variant. Having operators in quarantine results in lost revenue in higher direct labor costs, including more over time and higher subsistence costs for more out-of-town work, with longer travel times and overnight stays. That was the first half for the quarter. However, the second half was very different. February case comps were down about 80% from January, and in March, we only saw about 16 cases. None of our Q1 hit cases required hospitalization. Cases in April and into early Q2 are trending at the lower levels as well. Very positive. We're also encouraged that the Centers for Disease Control in most jurisdictions have loosened operating restrictions and shortened return-to-work testing procedures. Despite all of this though, we continue to follow our COVID playbook. And some regions have seen small amounts of infections, but the general trend is down. Our business and financial results, which Robin Darren will speak to in a few minutes, mirrored the COVID trends in the quarter. The first half of the quarter was below our expectations, and the second half exceeded our expectations. Overall, we managed to meet our initial expectations for the quarter, and we're pleased to see revenue and operating leverage improving. Revenue was up 33% from the previous year and adjusted EBITDA was up 84%. We're also encouraged by improving trends in the broader non-residential construction market fundamentals, particularly in the U.S. After 15 months of consecutive year-over-year declines in the U.S. non-res construction put in place numbers, the market trends appear to be returning to year-over-year growth. Albeit, at the lower levels -- the growth is occurring off to lower levels we experienced in 2020 and 2021. With that, we'll hand the call over to Rob to discuss the quarter.
Rob Blackadar: Thanks, Paul. As Paul mentioned, we're pleased with the continued market and business improvement during the quarter despite a slow start due to Omicron. Revenue was up approximately 33% from last year to $114 million, which continues to reflect the market recovery that we have seen in the second half of 2021. I would like to remind everyone that we have transitioned our reporting currency to U.S. dollars from Canadian dollars effective January 1st, 2022.
Paul Vanderberg: Higher revenue and more consistent volume in the second half of the quarter supported improved operating leverage. All operating regions experienced positive leverage from higher revenue, higher utilization, increased pricing, and cost controls. This resulted in a year-over-year improvement in adjusted EBITDA margin from 5.1% last year to 9.4% this year. Q1 revenue per truck, per month, or RPT, was $31,571, which was up over 37% versus last year, a higher percentage increase year-over-year than revenue. This reflects our continued focus on fleet utilization. Better fleet utilization also translates into improved labor utilization. We ended the quarter with 1,335 excavation units compared to 1,359 at the end of Q1, 2021. This also contributed to our increase in RPT. We added 16 units and retired 40 units in Q1 as well. Badger continues to target a 2022 build program of between 150 to 180 units and retirements between 40 to 60 units. The bill program is sized to capitalize on our recently launched commercial strategy rolled out across our branch network. As Paul mentioned, we'll be providing updates to our commercial strategy, our operating model, and our manufacturing capabilities at the virtual annual general meeting later this afternoon. But I will provide some brief highlights now. In Q1, we realigned our operations group into four regions, Canada, U.S. East, U.S. Central, and U.S. West. Badger has historically been a very decentralized business with local and regional management and focus and we now have evolved that decentralized structure into a standardized operating model. We resized the regions and market areas to capitalize on the growth opportunities within our strategic and core markets. This structure will maximize our ability to drive revenue, scale the business, focus our resources, and flex our operating leverage. The new region and market area structure was implemented at the beginning of 2022, and all positions we're staffed and resourced before the end of the quarter.As part of these changes, we've equipped our branches with additional sales and marketing capabilities. These capabilities focus on customer opportunities within key market areas and with our national accounts, leveraging our size and scale across North America. This is a key differentiator between Badger and our local and regional competitors. Badger continues to view its vertical integration as a competitive advantage. As we have previously shared, our manufacturing team has positioned the Red Deer plant for higher production levels. We believe that we will be able to source major manufacturing components for the balance of the year, despite the many supply chain challenges in the market. Market indications suggest that non-destructive excavation equipment will be in high demand, and more difficult to source over the next several years, which makes Badgers vertical integration that much more valuable. Our vertical integration also allows us to innovate new products. I'm excited to share that we are field testing the new Badger airbag, a new product in our non-destructive excavation lineup. The airbag operates similarly to the Hydrovac to form safe excavation. The airbag uses air versus water to loosen the cover soil before vacuuming it into a storage tank. This application eliminates the use of water and assist in materials management. This new tool further strengthens Badger's service offering and should expand customer uses for non-destructive excavation. Even though COVID has resulted in delays in projects, customer spending in non-residential construction activity, we see pent-up customer demand, and Badger's well-positioned to capitalize on this demand for the balance of 2022, and beyond. Unless there are additional geopolitical or macroeconomic disruptions, we see conditions continuing to be favorable for continued progress and growing the business, improving our operating leverage, and returning to historical margins as the recovery continues on our commercial strategy. And now, I'd like to turn things over to Darren to discuss our Q1 financial results.
Darren Yaworsky: Thanks, Rob and good morning, everybody. As Rob mentioned, our revenue in the quarter was a $114.1 million, up 33% from the same quarter in 2021. As gross margin was 18.4% representing a 270 basis point improvement compared to the 15.7% achieved last year. As Rob mentioned, we continue to invest in key sales and operations personnel and our commercial strategy in anticipation of a market recovery. G&A expenses were approximately $10 million for the quarter. These costs were modestly higher than last year's level to support the completion of the legal entity reorganization and the MRP system implementation both of which went live on January 3rd of this year. We continue to anticipate our normalized G&A run rate expense to be approximately CA$40 million dollars as we have previously shared. Adjusted EBITDA was $10.7 million for the quarter compared with $4.4 million last year. Adjusted EBITDA margin increased to 9.4% from 5.1%, representing a 430 basis point improvement year-over-year. These margin levels continue to reflect investment in key sales and operations personnel in anticipation of the market recovery and we expect this to continue over the balance of the year. Now onto the balance sheet. Badger maintains a focus on ensuring the strength of its balance sheet and its financial flexibility. We have continued to make meaningful progress in working capital, in particular, accounts receivable management and the collection of our long-dated receivables. At the end of Q1, nearly 80% of our receivable portfolio was aged less than 30 days, resulting in a DSO of approximately 75 days. We believe there's still room to improve on this, and we'll continue to work towards better numbers towards the end of the year. In January, we repaid the final installment on our senior secured notes with Prudential, resulting in all of our debt consolidated within our five-year committed credit facilities. We continue to maintain our Canadian $400 million in committed credit facilities, which provides ample liquidity and financial flexibility to fund both near-term and long-term growth in complementary capital allocation decisions. Finally, I'd like to remind everyone of some of the changes that we made for Q1 reporting period. Effective January first of this year, we changed our reporting currency from Canadian dollars to U.S. dollars. This change minimizes the impact of foreign currency fluctuation as over 80% of our revenue is in U.S. dollars. Effective with the March 31, 2022, dividend payment, we have moved from monthly distributions to quarterly distributions. Our Q1 cash dividend of $16.5 per share was paid on May 15 to shareholders of record on May 30 -- on March 31st. Effective January 1st, 2022, we revised the methodology in which RPT is calculated. We're excluding finished non-destructive excavation units, which have not been sold to the transportation entity from the manufacturing entity.Additionally, RPT now reflects the gross revenue earned on units which are operated by our operator partners in franchises, versus the previous reported net revenue. We believe these changes more accurately reflect the utilization of our fleet. With those comments, I'd like to turn the call back over to Paul.
Paul Vanderberg: Okay. Thanks, Darren. Before we open it up for questions, a couple of comments. The quarter continued our recovery from COVID. We were very pleased with the operational performance that we saw in the second half, and what we've seen so far, going into Q2. We remain focused on our markets and our customers, and managing our expense levels, while ensuring we have the trucks available for our customers. Our view of the significant in U.S. and Canadian long-term opportunity for non-destructive excavation, and our long-term growth prospects, is unchanged. We believe that the focus on infrastructure in the U.S. supports demand for additional, and significant additional, non-destructive excavation. We stand ready to help strengthen and maintain that infrastructure, and also to support adapting that infrastructure to new technologies from sustainable energy and other related technologies. Our proven business model or operating scale, our flexibility, diversification of end-use and geographic markets, combined with our strong operating track record across the economic cycle, support achieving our long-term growth aspirations. We are making the business moves required to position Badger to take advantage of this opportunity and as always, we manage the business for the long-term. We would also encourage everyone to join our virtual AGM, which will be held later this afternoon, where Rob will share some updates on our commercial strategy, operating model, and manufacturing. And Darren will share updates on our financial strategy. If you are unable to join the AGM, a link will be posted on our website. So with those comments, let's turn it back to the moderator for questions.
Operator: . Our first question or comment comes from the line of Yuri Lynk from Canaccord Genuity. Your line is open.
Yuri Lynk: Hey, good morning, everyone.
Paul Vanderberg: Hey, Yuri.
Yuri Lynk: Hey, Paul. Maybe just talk about staffing levels across the organization, how you feel you are staffed up for what sounds like it's going to be a pretty busy Q2 and Q3. Do you feel like you've got the adequate operators in place and trained up or are you still in recruiting mode?
Paul Vanderberg: Yeah. Well, I don't think we'll ever not be in recruiting mode at Badger and that's a real positive thing but we're -- we think we're very well positioned for the summer season. And as you and a lot of other followers of Badger know, we paid the price for that to be ahead of the game on operator availability and recruiting, so we're looking forward to a couple of quarters with a run where that pays off. So we're pretty excited about what we see coming for the rest of the year.
Yuri Lynk: Yeah. That's a good point. I mean, obviously you've got a lot of wood to chop between now and the seasonally slower Q4 and Q1, but how do you -- how are you going to be able to handle in this tight labor market, having to flex your workforce in those slower periods in order to better protect your margins than what we've seen in the last two years?
Paul Vanderberg: Well, I think there's a couple of things from my perspective, Yuri. It's the disruptions and the big up and downs that have really been the challenge. So, to the extent we have steadier demand and demand that's more reflective of traditional seasonality, I'm very confident that the ops team will manage that. The thing that we've really had the challenges with the is the up and down with the Omicron and the delta variants. And we talked about it with Q4, with the way December ended up and the way January started out. And we really had a great illustration of that with Q1 where it was almost two different quarters entirely. The first half was significant labor challenge, and the second half we got some momentum back and more than made up the shortfall in January in the month of March. So we've seen it, we've lived it and to the extent we don't have those types of disruptions, we're very confident that the operating leverage will start to reemerge.
Yuri Lynk: Okay. I've got some other questions, but I'm going to -- I'll hop back in the queue and maybe circle back.
Paul Vanderberg: Okay. Thanks. Great.
Operator: Thank you. Our next question or comment comes from the line of Michael Doumet from Scotiabank. Your line is open.
Michael Doumet: Hey, good morning, guys.
Paul Vanderberg: Hey, Michael.
Michael Doumet: The first question is on margins here. We've seen COVID ease as you commented, Paul. It looks like demand is ramping up. We talked about better utilization pricing cost. The environment and operating momentum feels like it's taken a turn, and I just wonder if you can discuss how the second half performance in Q1, how far that is away from where you need to be to get back to historical margins.
Paul Vanderberg: Now, that's a good that's a good question, Michael. I can't provide too much granularity on that, but it's -- I would say it's -- we're not satisfied with the level where we are yet. We do have our ways to go, and that's just the fact. And this is a real focus for us, and it will continue to be a focus for us, so -- but I can't give a whole lot more granularity than that. But the momentum into Q2 and what we're seeing, gives us quite a bit of optimism that we're going to continue to grind away back toward our historical margins. And as we have said, as we get more -- better demand, Number 1, and Number 2, stability of demand, that's when we have a chance for Rob and the Ops team to really get the operating leverage going.
Michael Doumet: Making a segway, to how -- can you answer that last part of the question? How significant is the interplay between utilization and price? Can you go back to your customers and ask for, not just some field, but a later recovery without necessarily selling out? Just wondering how much utilization or pricing leverage you currently think you have?
Paul Vanderberg: Let's put Rob to work a little bit here on that one as he's leading our commercial strategies. So a great question, Rob.
Rob Blackadar: Yes. So Michael, we have -- we see opportunities throughout the business and in most of our markets. Certainly, the demand has picked up and the phones are ringing and they're ringing pretty strong. And for us, as we are capitalizing and we're filling up all of our trucks and all of our dispatch are busy every single day, we've been training and teaching about making sure that we start to focus more on dynamic pricing rather than fixed or static pricing especially in those higher demand markets. And we're in several of those. So because of that, we're starting to see improvement and we're very encouraged by that. But it's extremely tied together, so as I -- and I have a background in asset heavy rental businesses and are all tied to utilization and pricing. And so as I've gotten to get more involved, Michael, I've identified that the opportunities are really, really strong here at Badger and it's really training and coaching and teaching our teams and so far, they've been very receptive. It was a little harder to do in the winter time obviously but as the spring and the summer demand are starting to ramp up, we feel very encouraged by that.
Michael Doumet: That's really helpful. I guess , that's fun.
Rob Blackadar: Okay. Thanks, Michael.
Operator: Thank you.  Our next question or comment comes from the line of Jonathan Lamers from BMO Capital Markets. Your line is open.
Jonathan Lamers: Good morning.
Paul Vanderberg: Hey, Jonathan.
Jonathan Lamers: Hi, Paul. Are the fuel surcharges that were put in place covering increased diesel costs now?
Paul Vanderberg: Let's turn that one over to Rob again. We've had really good success with the fuel surcharges. And I think, Rob can cover this. His team's done some great work in the last couple of months.
Rob Blackadar: Hey, Jonathan. So as -- what happened over with Ukraine started to really change the dynamics in the fuel markets and what was happening with fuel. Very quickly, we recognized and realized that we had this fuel recovery surcharge or fuel recovery fee that we passed along to our customers, and it really is pegged to what the cost of diesel is. And it's pegged both in the U.S. side and the Canadian side of our business. And as it started to spike up, we actually sent out communicate as the cost of diesel started to spike up. We sent out communications to all of our local customers and we actually, had one-on-one meetings with our national account customers. And basically said, our cost is going up so dramatically on diesel, we have to continue to change our fuel recovery fee to flex up with those costs and we actually started pegging instead of monthly to what the change in cost is to weekly. And so far, the take rate on that has been very good across the entire organization. And like our customers, we don't like a fuel surcharge more than -- no one likes that, no one is excited about taking that. But they're all realistic because almost every one of our customers is running equipment, or running trucks with diesel in it, and they all understand. And we've actually had a few customers tell us that they were waiting on us to change the peg from monthly to weekly. So far it's worked out pretty well. And that's a long answer to a short question, but we've actually seen pretty good success in this, in the last 45-60 days.
Operator: Thank you. Our next question or comment comes from the line of Trevor Reynolds from Acumen Capital. Your line is open.
Trevor Reynolds: Hey, guys. Just wondering if you could give a few more details on the Airvac truck that you guys are talking about from the press release.
Paul Vanderberg: Happy to, Trevor. Everyone knows that our vertical integration starts with truck design, and that starts with feedback from our customers and our operators. That's a real advantage that the Badger has. The Airvac really comes out of that whole ecosystem in the process of feedback from our folks on the trucks and in our customers. So whatever it does is it rather than high pressure water, it uses compressed air to loosen the soil, and the vacuum system is generally the same. There is a little bit difference in dust collection, but it's generally the same. So it's a similar non-destructive excavation technology, just using a different way to fracture the soil. There are a range of advantages with Airvac, and there is a range of disadvantages with Airvac, but it basically doesn't create slurry, and gives the customers options to put the soil right back in the hole, and manage their materials in a different way than hydrovac slurry. It's not going to be for everybody, and it's not going to be for every potential application, but it adds another arrow to our quiver, and we expect to see very good uptake in some segments like the pipeline segment, inner cities where there's impacted soils, places like Boston that have been around for hundreds of years and people don't know what's in the soil. And we think there's going to be some really good opportunities that come all -- along with that. So this is just another one of Badger's leading technologies like we've developed over the years. And we wanted to start to talk about it this quarter because we're seeing some good response from customers and from our prototype units that are out there. And also, because we're going to start to build more of them, and we are going to be reporting them along with our Hydrovac truck build. So we just want to provide that transparency, but very excited about it. And I'm really looking forward to how this rolls out.
Trevor Reynolds: Got it. So you'll just be including those with the Hydrovac numbers?
Paul Vanderberg: Yeah, that's correct.
Trevor Reynolds: .
Paul Vanderberg: Yeah.
Trevor Reynolds: Okay. And then just to be clear, did you guys say there was 40 retirements in Q1?
Paul Vanderberg: That's correct.
Trevor Reynolds: Okay. So you're still comfortable with the 40 to 60 retirements for the year?
Paul Vanderberg: Yep, that's what that's what we're planning on. And obviously we'll update that each quarter just like we do our build rate. But that's the plan.
Trevor Reynolds: Got it. I'll pass the line back. Thank you.
Paul Vanderberg: Okay. Thanks, Trevor.
Operator: Thank you. Our next question or comment is a follow-up from Mr. Jonathan Lamers from BMO Capital Markets. Your line is open.
Jonathan Lamers: Thank you. On the difference in margin between the first half of the quarter and the second half, maybe coming at it a different way, Darren, would you have an estimate for the -- all of the COVID costs included in direct costs for Q1?
Darren Yaworsky: I wouldn't have it at the tip of my fingers, so it'd be a bit of a guess. Maybe coming at it from a different way, the full quarter is 9.4% EBITDA margin would be an average that's probably weighted a little bit below the simple average. That's about as far as you're going to get out of me on the margin discussion. The -- yeah, I have to leave it at that because the -- it's difficult to be able to say what your COVID expenses are because there is foregone revenue and additional costs. So it's not as simple as saying that there is a cost increase that allowed us to actually pick up the same levels of revenue, we actually had to forego revenue because we didn't have the availability of people to do the work.
Paul Vanderberg: But we did say earlier, Darren, that we more than made up for the January shortfall in March.
Darren Yaworsky: That's right.
Paul Vanderberg: That's some color, I think, that might be helpful too.
Darren Yaworsky: Okay. That's great. Thank you.
Operator: Thank you. Our next question or comment is a follow-up from Mr. Michael Doumet from Scotiabank. Your line is open. Mr. Doumet, you may need to unmute your phone.
Michael Doumet: And here I am. All right. Still figuring out the phone, but thanks for the follow-up, guys. I think you talked about some areas where there's a lot of activity. I was wondering, how much activity, or how much more activity, you're seeing in the oil and gas base? And whether or not that's been enough to potentially tighten the rest of the market up a little bit in terms of capacity?
Paul Vanderberg: Yeah. Rob, you want to jump in on that?
Rob Blackadar: Michael, I know the company historically had been pretty heavily invested in oil and gas. And over the years, through the up and down cycles, and like a lot of the industrial companies, have lightened our dependence on oil and gas. We have seen some of the end markets and our end customers in oil and gas pick up, and certainly we've benefited somewhat from that, but it's not tightening up our entire fleet across-the-board. It's only helping us in those oil and gas markets in which we operate. We are seeing a lot of customer demand across almost all verticals and industries. And I'm trying to actually think of one, Paul, that's an exception. We're seeing it everywhere, and I think it's because people are coming off of two years of COVID and they have a lot of work to catch up on. I wouldn't say, Michael, that oil and gas is tightening up our utilization, but certainly in our markets where we operate, and you know the usual ones, in those markets, certainly, we've benefited, but that's not driving the utilization across the company. It's just all across the board demand from the broad customer base. But it is, it is a headwind we've had for about four or five years that's now not a headwind anymore. So very positive from that perspective. Great question.
Operator: Thank you. Our next question to come is a follow-up from Mr. Yuri Lynk from Canaccord Genuity. Your line is open.
Yuri Lynk: Hi guys.
Paul Vanderberg: Hi, Yuri.
Yuri Lynk: Can you confirm the retirement? So you said 40 retirements and you added 16 trucks, is that right?
Paul Vanderberg: That's correct. Yeah. We shrunk the fleet slightly in Q1.
Yuri Lynk: Okay. Maybe I'll follow-up offline but I'm getting the math kind indicates 51 retirements based on the ending suite count at the end of Q4.
Paul Vanderberg: I was talking about maybe average units during the quarter.
Darren Yaworsky: Yeah, we should probably take that offline and we can just reconcile the numbers for you. Yeah.
Yuri Lynk: Okay. Did anybody -- I dropped off the call for a minute there. Did anybody follow-up on the new RPT disclosure?
Darren Yaworsky: No, no one asked any questions on the RPT.
Yuri Lynk: I'll take the opportunity. I just want to make sure I understand, so you're now going to be including that 60% of our operating partner revenue and I guess the thinking is that the fleet, even that operator fleet is all in the denominator. So you're better trying to match the numerator with the denominator, is that it, even though the economic revenue, the U, is going to be a bit overstated?
Darren Yaworsky: That's correct. If the economic revenue that we have is still our economic revenue, but to really compare apples-to-apples of corporate versus OP or franchise fleet, we really have to make sure that the utilization is measured off the same gauge. That's what we and the logically that you went through it's absolutely correct.
Yuri Lynk: And I guess the end result is 3 percentage points lift in RPT?
Darren Yaworsky: No. It's going to be higher than that. It would be pretty materially higher than that in Canada. The -- it would be more than that. I don't have the percentage differential between our full calculations and our new calculations, but it will be higher than 3%
Yuri Lynk: Okay. Maybe just realign the guideposts. I mean, I think historically, you would look to start building trucks when you saw RPT get in that 30,000 to 35,000 range. I mean, what does that look like now, just so we can get our bearings here?
Darren Yaworsky: I don't think that's really changed. I think the -- we've seen the writing on the wall with all of the utilization work that we did last year, and the -- when we put out our Q4 numbers and our build guidance of 150 to 180 trucks, that was on the visibility that we were seeing RPT creeping up over 30.
Yuri Lynk: Okay. I guess my point is if 30 is -- anyway, we'll take it offline. It's -- I'm just trying to adjust for the -- I guess it's a bit inflated now, right, versus the old metrics? RPT?
Darren Yaworsky: No, I think the metrics now are probably more realistic of how we're running the business. RPT is RPT regardless of how you're trying to reconcile it back to the economic cash flow that we get from the OP franchise arrangements, so the decision-making that we would look at is always the core RPT of the business. And now, we're aligning the external disclosure with how we actually operate the business.
Yuri Lynk: Okay. Sounds good.
Operator: Thank you. Our next question or comment comes from the line of Krista Friesen from CIBC. Your line is open.
Krista Friesen: Hi. Thanks for taking my question. I wanted to follow up on the end-markets. Are you seeing any weakness in any of your end-markets as concern for a recession bloom, or any difficulties passing through the pricing that you're hoping to get, given inflation and all the other costs your customers are dealing with?
Paul Vanderberg: Chris, we haven't seen a lot of softness, certainly like everyone on this call and everyone in our room in here, we're very aware of what's happening, and we listen to the news and hear of a lot of discussion of what the market potentially could go to. But we haven't seen that softness yet in any of our end markets, and it hasn't seemed to slow down our customer base yet. But the thing that we're most optimistic and positive about on go-forward basis is because we have a very clear commercial strategy and it's very basic. We're not talking high science here. It's a very basic commercial strategy, but it's one that is company-wide that we believe that in certain locations and branch locations we have, that if we're really strong and one industry or one vertical, we can begin to start to grow adjacent industries and verticals and customer bases that we've never done before, and that should help us offset.  Even if the market starts to slow down, we can continue to grow and find new customers and introduce safe dig technology, and the concept of safe dig in the marketplace. Because a lot of our markets, even really large ones, still don't fully understand how valuable safe dig excavation is. And that is a complete upside for Badger, and we like being the industry leader there, so it's great position to be in.
Krista Friesen: Great thanks. I'll jump back in the queue.
Paul Vanderberg: Thanks. Thanks, Krista.
Operator: Thank you. . As there are no additional question is in the queue at this time, I'd like to turn the conference back over to management for any closing remarks.
Paul Vanderberg: Okay. Thank you for that. And thank you everyone for your participation this morning. On behalf of all of us at Badger, we want to thank our customers, our employees, suppliers, and of course, our shareholders, for all of your ongoing support, which really drives Badger's success. We can end the call. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.